Operator: Greetings, ladies and gentlemen. Welcome to the Home BancShares Incorporated Fourth Quarter 2013 Earnings Call. The purpose of this call is to discuss the information and data provided in the quarterly earnings release issued this morning. The company presenters will begin with prepared remarks then entertain questions. (Operator Instructions) The company has asked me to remind everyone to refer to their cautionary note regarding forward-looking statements. You will find this note on page three of their Form 10-K filed with the SEC in March 2013. At this time, all participants are in listen-only mode and this conference is being recorded. (Operator Instructions) It is now my pleasure to turn the call over to our first presenter, Mr. Allison.
John Allison: Thanks, Laura. Welcome everyone to Home Bancshares fourth quarter and year end 2013 conference call and earnings release. With me today is regularly team, Randy, Randy, Brian, Kevin and Donna, and they will all give you their perspectives in a little bit on the fourth quarter and maybe some comments on the whole year. First of all, I would like to tell you the -- I’d like to announce that Bob Birch, one of our Regional President slipped and fell last week. And I guess, he hurt at the rack of rib. I think he broke the rack of rib. So, Bob’s in good shape. He is doing well but he will be out for couple of weeks and we look forward to getting him back. In the meantime, his number one guy, Gordon Silaski has got that under toe in running the company in Noroxin, Orlando. Well, for the quarter, what a year it was, game changing for Home. Let me take this opportunity to welcome all of our shareholders of Liberty. I’ll like making 764,242 shares. You are now part of one of the highest performing banking organizations in American. This company has run for the benefit of the shareholders, the employee, the customers and the communities in which we serve. You will see this management is aggressive, smart and experience with lots of skill and gain, and they will make the decisions that are in the best interest of all of us. You’d probably saw in the report that we made one large -- we made a one-time large, one-time charge of $17 plus million in the fourth quarter. That was primarily overpass the redundant contracts, as well as long-term expensive commitments that were resolved by taking this charge. These expenses are over and we will not carry them on our back into 2014. I have to say that we are well on our way to completing our objectives for Liberty for 2014 and we are way ahead of schedule. There are still a lot of crops in the field to harvest over the next year and we are taking them one at the time. Some of the areas we have not addressed as of yet, we will be addressing in the first three to six months of ’14 and some of the -- our other team members will report about expense side thus far. Because where our data center was located, we lost some really good talented people in different markets. We wish them the best in the future. We just couldn’t have three catchers and three first [basement] in the game at the same time. But the quality of the Liberty employees that are still with us is superb and I am extremely impressed with their work ethic and the leadership. There is always disruption as result of mergers and acquisitions. We understand this because of our 13 previous deals at Home and our 20 previous deals we did at our former company. We deal with these problems immediately and then we move on for team building. Other than a few amount of bumps in the row, this one is going fairly smooth. Liberty was a 0.8, 0.9 ROA performer, none of our regions performed at those levels. Keys -- our Florida key operations almost the 2, our Florida operations running at 1.4 and you remember those were fell back. Alabama at 1.6 and Arkansas 2 plus. Once Liberty is brought to our minimum performance standards of 1.5, calculate what, excuse me, I am not going to calculate, but our counter stone like me to do that, but you can do the math on a 1.5 ROA and that’s just a starting point. Well, margin efficiency and loan growth. How is it going? All I can say is good, good, good. I have been -- I am very happy with the covered pools, that’s been something, it’s kind of been a question mark for all of us and I think anybody who don’t field bank is concerned about what impact that might make. But I am very happy with it. At this point the positive impairments far out way the negative impairments. Keep your fingers cross, but I think we are in good share, so far, so good and congrats to our loan team. So far as deals, deals are everywhere, Arkansas and Florida, more important than they are in Arkansas. Once the Liberty is fixed, how we will move on to the next deal, if January results, what I am expecting, I will become very active in the month of February. In summary, it was a great year, it was a great quarter and above we will see that for great 2014. We will go to Randy Sims now for more specifics on the number.
Randy Sims: Thank you, Johnny. Well, to say the least, it was a very busy quarter and as already discussed, Liberty Bank is now Centennial Bank. Let me just recap acquisition real quick. On June 25th the definitive agreement was signed between both banks. On August 30th both Board approved the merger and S-4 became affective. Then on October the 23rd the shareholder vote was taken and on October 24th we closed the deal. Just less than a month and a half later, the system was converted on December, the 9th. So less than six months from signing to conversion, quite a timetable for an acquisition over 60% of our own size. And in addition to completing the system conversion, we closed two Liberty branches and one Centennial branch in overlapping markets, basically across the street from one another at the time of conversion. From the beginning, it is then our goal to not only close the merger but to also complete the conversion before the end of the year and we got it done. Had we not completed the conversion in December, our next available date would have been in March. So we would have continued to run two backroom operations, customer service would have suffered and it would have caused us several million dollars in savings. We now can enjoy in the first quarter. It was a significant accomplishment that some did not think we could do. So, I would like to say congratulations and thanks to all of the conversion team member for an incredible effort. There is still much work to accomplish and there are still segments to get, but it would be exciting to see the financial results of the first quarter. So, now let me talk about income and some of the key components of 2013 record numbers. First of all, net income. The quarter is a little confusing with income as of year end of $66.5 million compared to $63 million for the year 2012. Diluted earnings per share ended at a $1.14 compared to a $1.11 per share for 2012. But this also included $18.4 million in merger expenses during the year 2013 with the Liberty acquisitions. Excluding these expenses, net income was $77.7 million. To complicate it a little more in comparing income to last year, there was a net total expense of $2 million for merger expenses and gains associated with our three acquisitions in 2012. So let’s just throw out all of those merger expenses and look at the numbers on an equal operating basis. With this in mind, we actually had diluted earnings per share of $1.33 for the year ended 2013 as compared to a $1.13 for the year ended 2012, or an increase of $0.20 per share or 17.7% increase. For the fourth quarter of 2013, the company recorded quarterly net income of $13 million or $0.19 diluted earnings per share. Again excluding the merger expenses, earnings per share for the fourth quarter was $0.37 per share and that makes a 11 straight quarters of record earnings excluding the merger expenses in the fourth quarter. Our return on average assets including all of merger-related expenses was 1.43% on a year-to-date basis. Our core return on average assets was 2.86% for the quarter and 2.91% for the year as compared to the previous year of 2.72%. Our return on average TCE excluding intangible amortization for the year was 15.26%. As Johnny said the Arkansas banks continued to produce high-performance results, it was internal ROAs averaging over 2.2% year-to-date. Again based upon internal numbers to be used for comparisons only, we are seeing ROAs in our Florida regions averaging excess of 1.4 and Alabama in excess of 1.6 almost 1.7 on a year-to-date basis. The greatest improvement this year has been in Florida. It will be interesting to see the first quarter results with new regions coming on board reporting due to the Liberty transaction. At the Centennial Bank level and again on an internal analysis, 71% of all our assets are now in Arkansas after Liberty. 3% of the assets are in Alabama and 26% of the assets are in Florida. And is the quarter with a 45.2% core efficiency ratio and 45.49% for the year. Keeping this in line has been a key component of our success for the entire year. In fact, I will now turn it over to Donna Townsell, our VP for Corporate Efficiency to give us a little update and progress that we made in this area.
Donna Townsell: Thanks, Randy. For the fourth quarter of 2013, our core efficiency ratio was 45.2%, which is comparable to the 44.4%, which we reported for the fourth quarter of 2012. As Expected, our biggest movement in the area of efficiencies was in regards to the Liberty Bank conversion. Since specific areas for costs saves include consolidation of backroom operations across the board, vendor contracts such as cancellation of redundant systems or renegotiations just for economies of scale, et cetera and maintenance contracts where we bid to renegotiations for facility maintenance, things like that, salaries due to attrition, job redundancies that was mentioned earlier. We also were able to renegotiate some future sponsorship and donation commitments, and we consolidated a few branches in markets where we already had some overlap. Our growth estimate across site is projected to have already hit $8 million and as you know we predicted about $10 million. So to be within striking distance at this stage in the game is very exciting. We have rolled out consolidated products and fees schedules and we are still analyzing other changes and we will now have a little breathing room where we can consider if other revenue initiatives would be beneficial this year. But our near-term goal is just to step back and look at post conversion enterprise that we have now created, and see what other efficiencies or enhancements that we can make that were not a result of the conversions. Randy?
Randy Sims: Thank you, Donna. There has been a lot of hard work accomplished since the end of the year and prior to the end of the year. So switching to deposits, we ended the quarter at $5.4 billion compared to $3.2 billion as of September 30, 2013. Time deposits represent 29.8% of our total deposits, up from due to the Liberty transaction. So that brings us to net interest income, margins and non-interest expense and who better than our CFO, Randy Mayor to give you all the numbers. After that, Randy will pass it on to Brian Davis to give us some information on our capital numbers. So, Randy?
Randy Mayor: Thanks, Randy. As Randy mentioned, there was a lot of noise in the quarterly numbers. There was a $17.3 million of merger expenses related to the Liberty acquisition. There was a positive impairment on eight FDIC pools, which resulted in $1.8 million of additional interest income, which also produced a reduction of our non-interest income of $1.3 million for the quarter and $46,000 in non-interest expenses as FDIC true-ups. As a side note, the total positive impairment of those pools was $14.1 million, which will continue to be recognized as the yield adjustment over the weighted average life of the loans. As a reminder in Q3, we had a one-time positive adjustment related to the payoff of a particular pool, which resulted in $1.9 million of additional interest income, $1.5 million of indemnification asset expense and $170,000 true-up expense. There was also a deterioration in five FDIC loss share pools this quarter, which resulted in a $3.9 million increase in provision for the allowance of loan losses on covered loans with the $3.1 million offset to be in indemnification asset, netting out to a $891,000 provision expense for covered loans. The net interest margin declined from 5.41 in Q3 to 5.09 in Q4, primarily due to the acquisition of the Liberty assets, starting on December 24, ’13. The yield on earning assets declined 30 basis points from 5.73% to 5.43%, while the yield on interest-bearing liabilities remained constant at 0.41%. Non-interest income and non-interest expense numbers also saw significant change as we continued to absorb the Liberty transaction. As Donna mentioned, there are a number of areas we’ve been working on and we will continued to work to reduce expenses and take advantage of the economies of scale. Our ROA, excluding merger expenses of 1.50%, and a core efficiency ratio of 45.22 for the quarter were consistent or maybe a little bit ahead of our expectations and models for the Liberty transactions. With that, I’ll turn it over to Brian.
Brian Davis: Thanks, Randy. During the fourth quarter of 2013, we paid out dividends of $4.9 million and grew our retained earnings by $8.1 million. As part of the Liberty acquisition, we issued capital of $290.1 million. For Q4 2013, our Tier 1 capital was $549.5 million. Total risk-based capital was $593.3 million, and risk-weighted assets were $5.1 billion. As a result, the leverage ratio was 9.38% compared to 11.50% at September 30th. Tier 1 capital was 10.88% compared to 14.20% at 9/30, and the total risk-based capital was 11.75% compared to 15.41% at 9/30. As a result of our Liberty acquisition, these decreases in our risk-based capital ratios were consistent with our expected pro-forma projections for the combined institutions. Additionally, book value per common share was $12.92 compared to $9.69 at 9/30. Tangible book value per common share was $7.94 compared to $7.99 at September 30. And the TCE ratio was 8.0% compared to 11.1% at 9/30. Randy?
Randy Sims: Thank you, Brian. Let’s switch to loans and our Chief Lender, Kevin Hester, who will update us on all those totals.
Kevin Hester: Thanks, Randy. The acquisition of Liberty Bank provided $1.8 billion of loan growth in the fourth quarter but also created some challenges in assessing progress and improving legacy asset quality. It also serves to reset the bar for assessing asset quality on the combined companies in the future. Our non-covered non-performing asset ratio decreased slightly from 1.15% to 1.07%, as did our non-covered non-performing loan ratio from 1.20% to 0.91%. The improvement in the non-performing loan ratio is a combination of the improvement in the legacy calculation and the effect of the combination with Liberty NPLs net of discount. The slight improvement in the non-performing asset ratio was due to the improvement on the legacy side. Our allowance for loan losses as a percentage of non-covered loans declined from 1.58% to 0.93%, and the allowance for loan loss coverage ratio declined from 132% to 102%. This is due to the addition of the $1.8 billion Liberty bank loan portfolio with no corresponding addition to the [triple L]. However, if you added the Vision, Premier, Heritage and now Liberty acquisition discounts to the allowance for loan losses, the combined figure would be 4.89% of non-covered loans at December 31, 2013. Non-covered real estate owned increased from $14.2 million to $30 million in this quarter, almost solely attributed to Liberty purchase. The share related to Arkansas properties shifted from 71% to 86% on a linked-quarter basis. Net charge-offs were 22 basis points in the fourth quarter, which is significantly below our average for the four previous quarters, and the 48 basis points incurred in the linked quarter. Early-stage, past dues increased slightly from 1.54% to 1.63%. Legacy non-covered loans increased $46 million in the fourth quarter, which would equate to an annualized growth rate of 8%. This extends the trend of non-covered loan growth of 5% or more to five of the last six quarters. In addition, we experienced $33 million in loan growth from the Liberty bank markets post acquisition, which would calculate to an annualized growth rate of 7%. Combined, it was a strong quarter for loan growth for the bank. The pipeline is still solid especially given the loan growth has been historically weak in the first quarter of recent years. By all measures, it was an excellent quarter in the lending area. With that, I'll conclude my remarks for this quarter. Bank to you, Randy.
Randy Sims: Thanks, Kevin. This really was a special year for Home BancShares with record income for the 11th consecutive quarter, the Liberty acquisition, a very consistent efficiency ratio around 45% and a very strong interest margin. All of the components that we need to move forward. We are very excited about 2014, and are all looking forward to the results in the first quarter. And with that I’ll turn it back over to our Chairman, Mr. Allison.
John Allison: Well, you’ve heard the report. It sounded pretty good, look forward to post quarter first with you and Laura, I think we are ready for Q&A.
Operator: Thank you. (Operator Instructions) And our first question comes from Jon Arfstrom of RBC Capital Markets.
Jon Arfstrom - RBC Capital Markets: Good afternoon, guys and Donna?
Donna Townsell: Hello, how are you?
Jon Arfstrom - RBC Capital Markets: I am good, doing great. Lot of questions here to go into, but may be just start off with Randy Mayor in terms of the margin. I know there is a lot of moving parts to piece all these together and we have got a few more weeks coming in next quarter from Liberty. But can you give us a little bit of help on the margin in terms of some of the puts and takes in terms of what you might expect early in 2014?
Randy Mayor: Yeah. We would expect as you said a little more pressure bringing on their portfolio for the full quarter versus the other. Also, we have some of the -- in the FAS 91, marks coming in. So that’s a little bit unpredictable, but I think we were 650 for this quarter. I would expect that to trend down a little bit, little more pressure on there. Liability side, you could see that there were pretty consistent with where we were, so it’s really on the loan side.
Jon Arfstrom - RBC Capital Markets: Okay, so just some modest pressure is what, if I read between the lines, that’s what you are saying?
Randy Mayor: Yeah, that would be a good summary.
Jon Arfstrom - RBC Capital Markets: Okay. Donna, question for you on the cost saves and those are impressive numbers, the 8 million that you already have. How does that compare to what you originally projected and also in terms of the timing and when are you expected to hit the $8 million?
Donna Townsell: It’s pretty much on track if not a little bit ahead of what we thought and we usually try to hit around the 33% in our models through runs. We really maybe account to that if not a bit over, a lot of that for low-hanging. In fact, we mentioned to you that it would come quickly that happens with each conversion. There are still some add-ons out there that are usually anywhere from one to three months after conversion that we have and even tucked into yet. So, I think you will still continue to see some improvement just with the Liberty folks between now and into the first quarter. Not to mention, we are always looking at our whole branch network and our whole enterprise. So, I think you will continue to see a focus that the whole year.
Jon Arfstrom - RBC Capital Markets: Okay. Okay. Good. And then John, a question for you, you made the comment when Liberty is fixed when you talked about January. What do you need to see to start to move forward on acquisition again?
John Allison: Well, the bottom line here is that, forget all the retail banks, and the Florida as Randy said we are on 140 and Alabama about 170, but the Arkansas Bank is running 220, north to 220. We don’t have any retail banks in that process, but Liberty is running 0.8, that’s less than 1%. And that is where I had to say that is where we outperformed Liberty by 66 and two-thirds percent. We are well on our way to correcting those run rate problems and the shareholders, employees to me deserve better. So our policies and operating procedures for Liberty will be the same as they have been in place for us forever. So the real key is to me, John, mailed question is, what is liberty going to do? Is it going to do a 1.5 or 1.8 or 2 or 2.20, or is the combined company even going to do better. And I think that we’re going to be very impressed January, February and March is what the process, the call saves at the end and we have some areas that have said we have not even touched. So you take that and you mix in a couple of deals with that. So I’m hoping to, if you heard my presentation, the January’s where I think it is, you’re going to see me really acted in February and March. So they’re out there, the deals are there, we just need to go wrap some other than that and at our price. The deals will be done at our price. We’re not going to get crazy, we get price, it’s going to be done it at our price. So I just want to see Liberty, you see the combined operation at up 45 efficiency ratio, that’s pretty damn good, grabbing this thing and pull out to one time to get your hands on it. Just walked in, Stephen Tipton just walked in. He is been working with Davy Carter in Jonesboro. And I'll just let him to kind of give you a quick feel of what he is seeing in Jonesboro. He is probably going to end up ultimately spending more time up there.
Stephen Tipton: Thanks John. We -- as we mentioned earlier we’re about 40 days post conversion. Today our groups are beginning to take hold of our processes, procedures, underwriting philosophy and all and as Johnny mentioned, we will put the same processes and procedures in place at their that we have here. Our management teams are working with the groups in Northwest Arkansas and North Central Arkansas and the Northeast part of the state kind of laying the groundwork there of our lending and retail and expense culture. So the groundwork started there and we’ve seen some positive things already as Donna mentioned. Our legacy staff here has been engaged in on the ground, in all parts of the state to help get those processes going quicker and I think that's happening so far. Our -- the loan relationships, our executive loan committee seems some great deal, some customers and players, I guess that we probably been familiar with over the years that we’re now excited to call customer. So I think, all-in-all, it’s -- we’re really pleased with what we've seen so far.
John Allison: That gives you a pretty good indication, we’re pretty happy with what’s happen thus far, John.
Jon Arfstrom - RBC Capital Markets: Yeah. It does help. And then just one quick one to confirm for Kevin Hester. The increase in OREO and non-performing loans, just to clarify, there are a lot of things going on there, but that you’re saying that that is primarily attributable to Liberty?
Kevin Hester: Yeah. Legacy NPLs were down, legacy NPAs were down a little bit. So any increase you see in there in raw dollars is based on Liberty.
Jon Arfstrom - RBC Capital Markets: Okay. Great. Thank you.
John Allison: That will take us a little while. We’ll get that under toe. We will fix it and move on down the road.
Jon Arfstrom - RBC Capital Markets: Okay. Thanks.
Operator: And our next question comes from Michael Rose of Raymond James.
Michael Rose - Raymond James: Hey. Good afternoon, guys. How are you?
John Allison: Hi Michael.
Michael Rose - Raymond James: Hey. Just wanted to touch on some of the fee income components? Can you give us some color on the insurance line item, anything that might happen this quarter, any sort of seasonality? And then what was in, any major changes in other fee income quarter-to-quarter and I know it’s little complicated because layering on the deal?
Randy Sims: This is Randy. On the insurance, we acquired an insurance agency in the Liberty transaction. So you probably saw, that’s income came in, it’s been started reporting to help us out there. But we’re monitoring that. It is kind of tough. It’s early and you’ve got two strange months, November and December with the holidays in there to what I would call set a reasonable baseline. So, I don't know that we are far enough along to figure out what our run rates going to be on the combined entity in there. I don’t think you saw any seasonality in the insurance, I think it was the two companies coming together.
Michael Rose - Raymond James: Okay. And then was there anything in other fee income?
Randy Sims: There was, only thing I can think in there, there was one rebate that we got back from one of our check vendors that about $170,000, I believe.
Michael Rose - Raymond James : Okay. And then, I guess, shifting to you Johnny to following up on the M&A discussion. How should we think about future deals you going forward, I mean, is it still in Florida looking at some of the smaller banks that you were looking at previously or now that you bigger have any size parameters change at all?
John Allison: No. They really hadn’t change, I like the bigger deals, I like to be able to do, I know our staff would appreciate us doing a larger deal than a group of small ones. We did some small deals, we got pretty good at it and we make some good money whether we turn them into real bank. So there's some smaller deals out there that tweak us that look like, if they are price rack, we can had and just been in the position to give them the price yet. But we’ll, I wouldn’t be afraid to do a $2 billion -- another $2 billion deals if opportunity came up, I pitch the gap, not long ago, it was about $2 billion. They come see, come see me, but I hadn’t have the opportunity to go see, but we’ll, if January, on the question fee income, we will see a lot more in January. In my expectations are can’t figure, amount are pretty high on return on assets and Liberty. So I’m hopeful based on what I am seeing efficiency ratio that I will have opportunity to take up in February and get real busy.
Michael Rose - Raymond James : Okay. And then just one final one if I could, I’m sorry, if I missed this. But what was the kind of the core loan growth ex-Liberty in the quarter and is it trending better than it has in the past couple of quarters? Thanks.
Randy Mayor: Ex-Liberty, it was about $46 million and it was spread throughout our footprint, Arkansas and Florida both had good gains, Alabama as well. And it was about what we expected for the quarter, topline for first quarter is still strong, especially being it is a first quarter of the year which historically has not been the strong.
Michael Rose - Raymond James : Okay. Thanks for taking my question.
John Allison: Michael, when I look at that, it's a lot of Florida right now, lots and lots of Florida in this first quarter topline, so that’s good to see.
Michael Rose - Raymond James : Is it more in the keys or in the Panhandle?
John Allison: Probably 20% in the keys and the balance is, probably 70% in Florida, 30% in Arkansas and of the 70% probably 25% in the keys and the balances in the Panhandle, looks pretty good, good opportunities.
Michael Rose - Raymond James : Great. Thanks for taking my questions.
John Allison: You bet.
Operator: And next we have a question from Brian Zabora of KBW.
Brian Zabora - KBW: Hey. Good afternoon.
John Allison: Hi Brain.
Brian Zabora - KBW: Question on provision expense on the non-covered side was about $3.4 million, a bit higher than charge-off. Is there anything with the Liberty deal that maybe elevated this or is this they got run rate. So we should think going forward with the strong expected loan growth.
John Allison: We booked $1.6 billion in loans, we didn’t get reserve with, I am one that didn’t like to be below 1% on the loan loss reserve. So we'll probably feed it for a while here that so we get comfortable with it. This -- I means it’s 100% covered in non-performing and as we clean up the Liberty portfolio it will improve. But we always there, you know us, we hear with too much rather than too little. So, Kevin, do you get any comments on that?
Kevin Hester: No. I mean, as we said, the right is, I mean, we just, we’re going to build that reserve backup a little bit to cover those that come across from the non-impaired because I will come out the reserve at some point. So we will do that to more comfortable.
Brian Zabora - KBW: Okay. Thank you. And then just on the funding side, you talked prior to the deal maybe paying off trust if at all you will be borrowing from liberty, can you give us an update there where you may stand as far as changing some of their borrowings?
Randy Sims: Brian, we will start those half cost borrowings -- bank bonds will stop paying us down here before a while. We haven’t got to those. We will streamline -- as we streamline Home’s balance sheet, we will streamline liberties balance sheet same way where the trust preferreds will take out and we will pay down, say the home loans to owners
Brian Zabora - KBW: Do you think it should be gradual through the year or something maybe more of a near-term goal?
Randy Sims: I think we’ll just gradually do it during the year. I think what it says as we get that cash and have money we will just standby.
Brian Zabora - KBW: Thank you for taking my questions.
Randy Sims: Okay. Thank you.
Operator: And the next question is from Matt Olney of Stephens.
Matt Olney - Stephens: Hey, guys. Thanks for taking my question. Question for Kevin Hester. Kevin, I know in the past you’ve talked about some larger pay downs that were on horizon on most of those larger pay downs now behind you, would you expect to see more of this in 2014?
Randy Sims: I think the largest of the once, we would look at is behind us. There will always be some and we factor those into our pipeline. But the one we were looking -- at fourth quarter, we ended up keeping it.
Matt Olney - Stephens: Okay. And I guess for Johnny, your thoughts on capital and dividend. I know you increased the dividend at some point last year, what are your thoughts on increasing that dividend in 2014?
John Allison: I think we will double it. We don’t have the cash right now. We will build our cash reserves back up over the next period of time and they were trust preferreds and federal home loans bars. So we will kind of sit for a little bit. But as soon the minute that we can move that up, we will do it. We will raise the dividend. So it would probably be -- probably look at again to mid-year or third quarter, we will try to look at it, see how the cash is holding out and what we are doing. Like that’s approving bank -- there are some deals out there also on top of that that they like to have a little cash like the Liberty deal because they haven’t had any money in 10 or 12 or 13 years. So, that’s part of the mix too. I know you’d like to raise some capital but maybe when I will do that so.
Matt Olney - Stephens: If Stephens help let us know, thank you.
Operator: And the next question will come from Kevin Reynolds of Wunderlich Securities.
Kevin Reynolds - Wunderlich Securities: Good afternoon, Johnny and everybody, how you are all doing?
John Allison: Great.
Kevin Reynolds - Wunderlich Securities: Most of my question has been answered. At this point I guess I wanted to go back to Kevin really quick and you gave the organic loan growth core ex-Liberty for the quarter. I think you said around $46 million. What was the number that you said was the Liberty growth after the acquisitions -- or growth in the liberty markets after the acquisitions?
Kevin Hester: It’s in the little north of $30 million.
Kevin Reynolds - Wunderlich Securities: Okay. So that $75 million, $76 million or so and organic growth during the quarter.
Randy Sims: Very close, yeah. Kevin, it was a $84 million on the combined entities.
Kevin Reynolds - Wunderlich Securities: Okay. Okay. And then, I guess looking out, it seems over the last couple of months and you listen to a few other conference calls out there that activities picked up a little bit than maybe we and our customers feel a little bit better about the economy although we are not giving it the all clear signal. But if that's the case, do you get the sense that here, a, is that the case? B, beyond that do you get the sense that competitive environment will become more intense for loans, or do you think that it’s going to sort of stabilize in here and maybe everybody gets back to little bit more rational behavior when we get out there? And what do you think is going to drive the activities we had into 2014 on the organic side of things?
Randy Sims: I think we are seeing people with a little more confidence. I think the answer to that is yes. We see a map. We see an opportunity that’s out there. We are seeing entrepreneur start to spend money and do deals, good entrepreneurs. Kevin, you will answer the second part of that, what do you think of them?
Kevin Hester: Well, if short-term rates go up, if something happens that causes our competitors to believe the rates are going up, then you maybe will see less pressure. But we all have a lot of equity. We are all looking for loans sell. I don’t see that changing as far as the competitive pressure is on pricing. I don’t see that changing unless something happens that scares have everybody out, what they are doing.
Kevin Reynolds - Wunderlich Securities: Okay.
John Allison: It could be a bunch. I’m caught with the (inaudible) now. I hope you know that. We are right in the half twos and threes. We don’t get locked into that step and that’s 5, 7 and 10 years and we didn’t do that. We didn’t play that game and we’re not going to play that game. So, I think we are in a pretty good position. However, I haven’t seen -- I’ve seen some people when they are going through a market, trying to do some stupid stuff lightly. But I really hadn’t seen much of. I hadn’t heard much out there. Actually, my comments are going to be a little better than it was that competition is a little better than it was. We are able to get rates in Florida, but we are able to get pretty good rates in Florida. We are able to make some pretty nice trades there.
Kevin Hester: Okay. And then one last question for you, Johnny on M&A front, I mean we will ask these a million different ways on this call here and you will probably avoid the answer many different ways. But when you are looking at in terms of trying to pin you down as what you are looking at and where, is there any reason just kind of conceptually why? I understand that you don’t like to give away your money and your shareholder’s money and what might be a high price steel. But if there is a deal out there that just absolutely make sense and pushes you well done a field as an organization with your currency and the fact that no one else really -- not too many people have a currency that’s anywhere close to valued like yours, does it make sense at some point to go out there and just sort of put a price on some people to get their attention and say look, we are the partner that you want to align yourself, let’s do this deal now instead of dancing around each other for the next 12, 18 to 24 months? Just speed the process up and move down the field.
Randy Sims: Well that’s an interesting way to asking. But the currency enables us to do some trades that other people can’t do. And still we award our shareholders and be accretive to our deals. I look at the deal a while back, it was about a $1 billion it added $0.06. That didn’t do anything for me. I could probably the price up right enough to make it be accretive to us. The Liberty deal can add lots of income to this deal. But the answer to your question is maybe. I mean, I looked at one the other day in Florida that I just pulled up that needs to be sold. I looked at the deal and the numbers work so and it’s in a market, and it’s in the area and it helps build our franchise and it’s helped the size that our management team would lack. So you will see maybe at January, if January is what I think it is. If our team has done what I think they’ve done, you will see me really active in February and March. And I don’t mean, I will bring a deal home but that means I’ll be knocking on the doors and see what it makes sense in that market and we are definitely going to do some deals in 2014 unless some crazy happens out there. So, I don’t know if that answers your question. But I heard what you say and you know some of those deals that are out there that makes some sense and I know some of those deals that are out here that could make some sense. And truthfully, in the best interest of some of those companies, they all have hooked with home. If they hook with come, they will benefit, home will benefit, home shareholders will benefit and their shareholders will benefit.
Kevin Reynolds - Wunderlich Securities: Right. And Johnny you have not talked about in the past, but the idea that taking one of these companies that just hypothetically likes to see itself as a consolidator of choice in a given market, but doesn’t quite have the currency you do. What is it that is keeping companies like that from seeing a larger growth -- trading into you and then becoming your acquisition team with the stronger currency and still being the consolidators of choice in that given market? I’m also trying to get to what bridges that gap.
Randy Sims: Ego, I guess. I guess ego. In the past, ego killed more deals than anything else they ever killed. So, I guess either the CEO or maybe he hadn’t made enough money and maybe he doesn’t have enough stock options or maybe he doesn’t have holding of stock and he didn’t want to sell it today when it beefs up his portfolio you see some of that. So sometimes their personal interest gets in the way of what’s of the best interest of their shareholders. Some of these big VP, if you go to shareholders and pitch them I think you can’t get a deal rather than go to CEOs.
Kevin Reynolds - Wunderlich Securities: Okay. Thanks a lot. Great quarter.
Randy Sims: Thank you. Appreciate it.
Operator: And the next question is from Brian Martin of FIG Partners.
Brian Martin - FIG Partners: Hey, guys. Most has been covered, just a couple few -- just couple things here. Just maybe -- as Johnny or Donna, they talked about kind of the cost savings that they haven’t -- the opportunities you haven’t touched yet and I guess it would sounds still like there is some loan hanging trued-up there, or may maybe just kind of wondering if you can touch and open on that, what that is and then maybe just as far as you talked about some of the branch realignments and how likely is it we will see some branch reductions this year as you guys go through the year kind of looking at the transaction? And maybe just the last question for Johnny on the -- when you look at the mix now with acquiring Liberty and CAG on 75, 25 Arkansas, Florida, how important is it for you to kind of move that mix back toward getting a lot of your percentage in Florida? I mean, is that a priority or just it’s going to be profitability?
John Allison: It didn’t make any difference. It’s just wherever the money is. I will do in a way of Arkansas because that’s where the money is. I will do a Florida deal. Show me the money? I see a deal that’s going to be real accretive to home. That deal is going to get raised and is a tough priority for me. So, I don’t care whether it’s Alabama or Florida or Arkansas but we will probably going to stay in our lane. But it doesn’t matter to me. Randy, comment on the other part of that question.
Randy Sims: Sure. One of the things we haven’t done yet is put our branch model into all of the branches that will be done. We’ve got to get a few months of transactions under our belt. And see where that lies, that’s a big -- could be a big favor and looking forward to doing that. Every market is looking for statements within themselves and for maintenance contracts going down. As far as looking at branches, we are evaluating not only Liberty branches but we are evaluating our own branches to see if there are some branches that we ought to be closing and see if there are some branches we ought to be opening. We would love to be in maybe, Alabama. We are just right across the bridge, across the bridge and get back. There is no reason to not go across the bridge if we can find the good team like we did in Pensacola that can really add some good loans to the mix. And one thing we haven’t talked about in the Liberty deal is we’ve gotten a couple of areas that they were doing just a really great job yet and Randy Mayor talked about the insurers. But we inherited also a very good trust department that we’ve had a few trust assets that they’ve been with the third-party in their kind of processor. And we will be able to take our assets and combine them with Liberty trust department and we are going to see some income from that and hopefully some growth as we beef out even. And we also got a great line of cash management business that we haven’t mentioned either. So those are revenue areas that it really helps us find the road. And then bottom line, as the Liberty, as Johnny can’t talk about it at very first, we have got as we say today a great staff from Liberty that are dedicated to moving forward and making this a really great operation. We have had some that decided to leave us but the remaining staff that we have are just etching to go down the road and perform and be the best region, look forward to really combining our efforts and that is why at the first of the comment that I emphasized so much about the conversion and why it was so important to get it done before the end of the year because we are now in combined efforts basis with new regions, looking forward to that first quarter and maybe even meeting some of the expectations that Johnny has at the end of January. So we are really looking forward to it. It’s going to be fun 2014.
Randy Sims: Can’t really comment.
Donna Townsell: No actually Randy said what I was going to say in regards to the assessing model and the branches so thank you.
Randy Sims: Now, we end up with three different insurance agencies, we are going to combine those and get some efficiencies out of that, we are not -- we haven’t touch that side of it yet, Donna retail side hadn’t been touched yet, we are seeing. So there is still lot to low hanging fruit that we think that we can improve there. We are at $9 million now, is that about right?
Donna Townsell: 8 to 9, John math somewhere in…
Randy Sims: Johnny math got us at 9 that will fly out, so you can figure that out and I wanted to 2% plus ROA and the Liberty operation. So that’s if you want to go my expectations, that’s -- we will get there, believe us we are not going to get there as quick but I think January and February, I think we will have a pretty strong quarter.
John Allison: Anybody will surprise out there, so…
Randy Mayor: Yes. Having by surprise I wanted 2 plus actually. The truth is if we are going to run at 220 we will get more pace of Liberty. So we really want to know, what I think, I think, we can do better than that. So I hope January looks like, yes, I am anxious to get out on the road and a lot of people will need to go see and talk to.
Brian Martin - FIG Partners: Okay. And as far as capital, Johnny, sitting at 8% today and kind of how much capacity you have to do additional deals based on how quickly you are building it, can you just give a little color on that?
John Allison: Well, we didn’t, I always said, we go down into 7 if we found the deal, if we lack then we lack the Liberty deal, I think you will see us building capital pretty quick here.
Brian Martin - FIG Partners: Okay. All rights. Thanks very much. Nice quarter.
John Allison: Thank you.
Operator: And next we have a question from Peyton Green of Sterne Agee.
Peyton Green - Sterne Agee: Yes. Good afternoon. I was wondering, Johnny, if you could talk a little bit about what the potential run-off is on Liberty portfolio? I mean you’ve mentioned that there was $38 million of organic growth in pretty short order? But is there any, maybe intentional run-off that you are going to work over the next two or three or four quarters? And what do you think kind of the production capacity is versus when you acquired them?
John Alison: Well, the bad part of the Liberty portfolio we would like to run-off tomorrow, but I think Kevin and his team has marked it property, but it pools and leave, I don’t, when you think about it, Jonesboro is my hometown and David Carter who was running that region is ASU graduate. We just want to go daddy bow and there was Centennial Bank supporting all over that deal and we reconnected, particularly me, I reconnected with hundreds of people that I haven’t seen in years, people connected, it was a great activity for, if there was any question about Centennial Bank’s commitment to Northeast Arkansas, I’ll state, I think it was go away, because I expect more business as some of my friends came up that said, we didn’t do business with Liberty but we are bringing business over the year. So my expectation, I am sure we are going to have some run-offs, somebody leave but we are going to see it yet, it may happen. The bad news is that the bad loans if we have got up there, nobody take them so they are not going to run-off anywhere, so I actually think we are going to grow that market quite to the contrary if they think we are going to lose, my expectations are we are going to grow it.
Peyton Green - Sterne Agee: Okay. So you think net growth is a reasonable expectation for it.
John Alison: Yes. I think it is. I think it’s a reasonable expectations.
Peyton Green - Sterne Agee: Okay. And then with regard to consolidating the insurance operations and affecting some of those revenue opportunities that you want to do on the trust and cash management? I mean, when do you think a -- what’s a realistic timeframe for that, is it six to 12 months, or is it little longer than that?
John Alison: No. We don’t, six to 12 months is, when you make, that looks like its forever. So we are going to do this in the quarter. I mean, we are going to fix this deal. We don’t get out. We know the progress in that. The interest deal got to be fixed and put together, that’s been given to me. Donna Townsell and myself and Randy Mayor have that. That’s our new responsibility. So I’ve invested kind of little bit but that see an end in a few days. So they are fixed and see my smiling face in our offices like, yeah.
Donna Townsell: I think we just got a meeting right after this call, Mayor.
John Alison: So, anyway, now, when I will progress, I will go and get it done, likely do everything else, it needs to done, fix it, move on.
Peyton Green - Sterne Agee: Okay. Fair enough. Thank you very much for the color.
John Alison: You bet.
Operator: And next we have a question from Eric Grubelich of Highlander Bank Holdings.
Eric Grubelich - Highlander Bank Holdings: Hi. Good afternoon. Can you hear me okay?
Randy Sims: Hi, Eric.
Eric Grubelich - Highlander Bank Holdings: Hi.
Randy Sims: Pretty well.
Eric Grubelich - Highlander Bank Holdings: Hey. Just if you could back up to I think a comment that was made probably about 20 or so minutes ago. You are talking about the margin and I think the comment was that you are seeing more from the loan side of Liberty, as maybe a little bit of pressure point on the net interest margin? And I was just kind of curious, is there something about the portfolio that you brought on that is maybe not as flexible on the pricing side, if rates move up there or is it something else?
Randy Sims: It was about 60 basis points for the quarter reduction in the legacy portfolio including and that was primarily because of Liberty. I think those will like, I mean, we’ve always held at higher rates and they were at lower rates. So we will add our part to that but because the firm was about the same. Brian is going to comment on that?
Brian Davis: Well, I think, I am speaking for Randy here, but one reason I think he said that he felt that might come down from 650 was it, Liberty was only in the numbers for two months and eight days. And so since they had a little bit lower effective rate on their loans, they naturally would have to bring a little more pressure to the margin, because they will be in there for 90 days in this quarter versus two months and eight days, and so that naturally will bring down the rate on that. While the deposits were of course about the same.
Eric Grubelich - Highlander Bank Holdings: But it goes back to Johnny’s comment, their portfolio was yielding less than our, so I just want to?
John Allison: It is what it is.
Eric Grubelich - Highlander Bank Holdings: Drag our overall yield down?
John Allison: That’s exactly right. We held our zip over the tab and we will go to work and pull that one.
Eric Grubelich - Highlander Bank Holdings: Yeah. No, no. That’s right. That’s right thought you are implying, so going forward with the, the way that the, the rates are derived on new loans that you make with customers, you are going to pull what they were doing to your standards of performance, is what you are trying to do, right?
John Allison: Correct. Actually competition will bring into our standards.
Eric Grubelich - Highlander Bank Holdings: Okay. That’s great. And just maybe if you can just give us a little bit of an idea, last couple of quarters. What are the note rates look like for your kind of bread and butter commercial real estate lending right now?
Randy Mayor: We are in the 5s.
Eric Grubelich - Highlander Bank Holdings: Okay.
Randy Mayor: We are in the 5s. We have done some 4s, telling the other day, watching the 10-year, it came in with 4.5 or 4.38’s certain after those days are over, after that step, that’s past tense, we need to be doing, we need to be doing 5s, I mean, no doubt for 10 years moving up, but I mean, I guess, it’s still around 3 and you guys were loan and fixed for 10 years at 3%. So, lot of people going to get burn on that step. It’s moving up. It’s going to move up. So as you will recognize it and get ready for it and get and move up with it, so that’s what we are doing. They are not bringing the 4.25, 4.5 back which maybe now, we are pushing up, trying to push to 5s, not getting all 5s, we’ll get some 4.75 step, but we are pushing, trying to push it.
Eric Grubelich - Highlander Bank Holdings: Okay. Thanks very much. That was great. Thank you.
Randy Mayor: Thank you.
Operator: And this concludes our question-and-answer session. I would like to turn the conference back over to John Allison for any closing remarks.
John Allison: Thank you, Laura. Thank you for your interest in our company. It’s been a great year. The FY ’13 was a great and exciting year for this company and I think ’14 will be the same. So I don’t anticipate any changes rather than continue with our foot on accelerator, get Liberty fixed, get it to 1.5% to 1.70% to 2% or 2.20%. I’ll do better than that. But anyway they pass out around here, when I say that. But anyway, I think we are going to headed in the right direction. I think it will be great 2014 and hopefully, we can find some people out there that are interested in joining this, jumping on this, trying down the track. So we will talk to you 90 days and thanks for your support.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.